Operator: Good day, and welcome to the AZZ Inc. Q4 FY 2025 Earnings Conference Call and Webcast. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Sandy Martin of Three Part Advisers. Please go ahead.
Sandra Martin: Thank you, operator. Good morning. Thank you for joining us today to review AZZ's financial results for the fourth quarter and full fiscal year that ended February 28, 2025. Joining the call today are Tom Ferguson, President and Chief Executive Officer; Jason Crawford, Chief Financial Officer; and David Nark, Chief Marketing Communications and Investor Relations Officer. After today's prepared remarks, we will open the call for questions. Please note that the live webcast for today's call can be found at www.azz.com/investor- events. Before we begin, I want to remind everyone that our discussion today will include forward-looking statements made under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. By their nature, forward-looking statements are uncertain and outside the company's control. Except for actual results, AZZ's comments containing forward-looking statements may involve risks and uncertainties, some of which are detailed from time to time in documents filed by AZZ with the Securities and Exchange Commission, including the annual report on Form 10-K for the fiscal year ended February. These statements are not guarantees of future performance. Therefore, undue reliance should not be placed upon them. Actual results could differ materially from these expectations. In addition, today's call will discuss non-GAAP financial measures. Non-GAAP financial measures should be considered supplemental to not as a substitute for GAAP financial measures. We refer investors to the reconciliation from GAAP to non-GAAP measures in today's earnings press release. I would now like to turn the call over to Tom Ferguson.
Thomas Ferguson: Good morning, and thank you for joining us. Today, we will discuss AZZ's fiscal 2025 financial results and achievements as well as our outlook for fiscal 2026. Then we will open up the call for questions. I am pleased to report that our Coatings segment delivered record sales and profitability for fiscal 2025 due to a combination of business momentum and disciplined execution of our growth initiatives. Metal Coatings generated fiscal year 2025 sales of $665 million, while Precourt Metals generated $912 million. Strong sales for the full year were largely based on increased volume as we processed higher tonnage in both fabricated steel and coil coating. For the full year, our top line results were primarily driven by infrastructure investments to support community growth, urban expansion and economic development. More specifically, AZZ's record-breaking performance was driven by growth in bridge and highway construction, including new projects and renovation projects across the U.S. The continued expansion in transmission and distribution, including solar projects, and general construction, which for AZZ includes data centers. Jason will cover our fourth quarter financial results in a moment. But as a reminder, the fourth quarter is typically our weakest season due to the winter holidays and inclement weather that hampers construction activity. During our fourth quarter, which ended February 28, 2025, the construction activity was impacted by significantly more inclement weather days than in a typical year. Collectively, we experienced over 200 days of lost production in the fourth quarter due to adverse weather conditions. David will provide more color on this shortly. In fiscal 2025, Metal Coatings delivered an EBITDA margin of 30.9%, primarily due to better operating leverage on expanding volumes and improved zinc productivity. As discussed previously, -- we believe our new margin range for AMC of 27% to 32% is sustainable. Precoat Metals EBITDA margin of 19.6% exceeded its prior year comparable, demonstrating strength based on increased volume, a more profitable business mix and improved operational performance. Our strong EBITDA generated in fiscal 2025 converted to cash from operations of $250 million. This robust cash generation allowed us to pay down $110 million of debt and fund our new greenfield facility near St. Louis, Missouri, which is currently ramping up commercial production as we speak. This year, we plan to continue to pay down debt and strengthen the balance sheet, while prioritizing other capital allocation strategies, including paying quarterly cash dividends. We also plan to invest in AZZ's enterprise-wide technologies by enhancing DGS, which is our digital galvanizing system, in our galvanizing plants and coil zone in the coil coating facilities. These customer-centric technologies continue to elevate service levels and enhance our unique value proposition as well as provide effective business intelligence reporting for better decision-making, particularly in relation to improving operating productivity and efficiency. AZZ's pipeline of acquisition targets continues to grow, and we are carefully evaluating M&A in markets throughout the United States. We focus on synergistic targets that present attractive risk-adjusted returns for enhancing long-term shareholder value. We are disciplined in our approach and decide an acquisition based on timing, targeted valuation and appropriate balance sheet leverage. After solely focusing on debt reduction, we anticipate closing the single-site bolt-on galvanizing deal during the first quarter. AZZ continues to differentiate with industry-leading market share positions in both segments. We believe our geographic footprint and scale across the U.S. and Canada as well as technical expertise, reputation for customer service excellence and long-standing customer relationships, create a durable competitive moat for AZZ. Our 3- to 5-year strategy is anchored on organic market share growth as well as inorganic acquisition growth that we are pursuing for both segments. Under the Trump administration's current tariff mandates, we expect demand for coating solutions of both steel and aluminum produced domestically to accelerate. Additionally, in fiscal 2026, we will continue to benefit from our tolling model, which insulates us from commodity risk since we do not take of steel or aluminum process through our facilities. Currently, our zinc contained supplies have not been affected by the tariffs. With that, I will turn it over to Jason.
Jason Crawford: Thank you, Tom, and good morning. Starting with a summary of the full year. Reported sales of $1.578 billion, an increase of [ $2.7 million ] from the prior year. By segment, Precourt Metal sales increased 3.5% and Metal Coatings sales increased 1.4%, within which the Galvanizing segment increased 2.6%. Gross margins for the year were 24.3%, an increase of 70 basis points compared to a year ago. Net income before the preferred stock dividend and redemption premium in fiscal year 2025 was $128.8 million, an increase of 26.8% compared to the prior year. This was another record year for the company in terms of sales and net income which speaks to the strength of the businesses and progress made on our strategic initiatives during the fiscal year. Turning to the fourth quarter results. Sales for the quarter were $351.9 million, down 4% from the same quarter in the fiscal year 2024. As Tom mentioned, Bad weather impacted our quarter more than normal, which [indiscernible] lost production days for both segments. Despite the lower volumes in the quarter, gross margins improved to 22.4% and primarily due to operational improvements. [indiscernible] selling and administrative expenses were $38.3 million or 10.9% of sales compared to $38.8 million or 10% of sales in the prior year quarter. Operating income was $40.4 million or 11.5% of sales compared to $4.3 million [indiscernible] on a percentage of sales basis. Interest expense for the fourth quarter was $17.4 million, down [ $7 ] million from a year ago period. This is due to the lower weighted average debt outstanding and lower interest rates and debt repricings and fed reductions at carbon 2024. In addition, on March 3, after our fiscal year-end, we announced a repricing of our $400 million senior secured revolving line of credit that will allow us to continue to lower our interest expenses going forward. The performance and outlook for the business has allowed us to improve our capital structure and reduce interest costs, and we fully anticipate this trend to continue into fiscal year 2026. Equity and earnings of unconsolidated subsidiaries for the fourth quarter was $3.7 million compared to $4.3 million for the same quarter last year. these equity and earnings are from our 40% minority ownership interest in the veil joint venture. The current quarter income tax expense was $6.1 million, reflecting an interim effective tax rate of 23.2% to support the final full year of 2025 tax provision of 24.5%. This was higher than the 2024 effective tax rate of 21.9% primarily attributable to favorable adjustments in 2024 related to uncertain tax positions, partially offset by higher tax deductions for stock compensation in 2025. Net income from the fourth quarter was $20.2 million compared to $14.3 million for the prior year's quarter. On an adjusted basis, Q4 adjusted net income was $29.6 million, compared to $27.5 million, an increase of 7.9% from the prior year. Fourth quarter adjusted EBITDA was $71.2 million or 20.2% of sales compared to $73.9 million in the prior year, flat on a percentage of sales basis on lower volume. Turning to our financial position and balance sheet. We generated significant cash flows from operations at $249.9 million in fiscal year 2025, ahead of last year's $244.5 million. After funding the company's annual capital expenditures of $115.9 million, which included $52.8 million for our new coil coating facility. Our free cash flow was $134 million. As previously communicated, we have expanded our coil coating capabilities by constructing a new 25-acre aluminum coil coating facility in Washington, Missouri. This new facility contained within our Precoat Metals segment is supported by a contract for approximately 75% of the plant's capacity. During fiscal year 2025, our capital expenditures, as previously stated, were $52.8 million and the remaining and final balance of approximately $8 million is scheduled to occur by the end of Q1 in fiscal year 2026. This will bring the project online within our originally stated cost and time lines. Further, we are pleased to announce that the facility has started to ship commercial production as of a few weeks ago and will continue to ramp volumes through the fiscal year. Aligned with our previously stated strategies, our disciplined approach to capital allocation includes paying down debt, investing for growth and returning value to our shareholders through [ dividend buying ] labs. During the fourth quarter of fiscal year 2025, we reduced debt by $30 million and made debt payments of $110 million for the fiscal year. Our debt to adjusted EBITDA ended the year at 2.5x, which compared [indiscernible] to our leverage of 2.9x at the end of fiscal year 2024. From [indiscernible] investment in the new Washington Missouri facility [indiscernible] and our debt to adjusted EBITDA below 2.5x., an overall improvements to our capital structure, we will start to transition our focus to a more balanced capital allocation with greater emphasis on M&A and returning value to our shareholders. Finally, subsequent to the end of the fiscal year, on March 10, we announced that our JV partner has entered into a definitive agreement to sell the electric products group to invent electric plc for a purchase price of $975 million. This transaction is expected to close in the first half of calendar year 2025, subject to customary closing conditions at which time we will receive a pro rata portion of the cash proceeds from the sale, which we estimate to be approximately $200 million after accounting for debt repayments, deal costs and cash retained in the remaining businesses. Post transaction, AZZ will continue to own 40% interest in Avail, which will then consist of industrial lightings and welding solution businesses and will represent approximately 30% of pre-transaction group revenue. With that, I'll turn the call over to David Nark.
David Nark: Thank you, Jason. Good morning, everyone. During fiscal 2025, customer demand in key industries drove annual sales growth, primarily in our largest category, construction and in meaningful end markets that include industrial and electrical sectors. Smaller categories at AZZ also experienced growth in fiscal 2025, and those were related to HVAC and Container Industries. As Tom and Jason mentioned, the demand environment for overall construction was weaker in the fourth quarter due to inclement weather. We believe that both wet and cold conditions, meaning temperatures below 40 degrees impacted construction days throughout our final quarter of the fiscal year. To put this in perspective, for December, the number of wet days increased 13% versus the same month a year ago. In January, the number of warm days available for construction were down 29% year-over-year. Finally, in February, the number of wet days increased by 10%, while the number of warm days available for construction were down 27% year-over-year. For the full year, organic top line growth was 2.6% over the prior year. Looking into fiscal 2026, we expect a continuation of infrastructure spending related to the AIIJA program. We expect public and private investment to continue to remain resilient with infrastructure spending from planned projects and recent natural disasters. Also, as Tom mentioned, growing populations and urbanization will continue to support the need for infrastructure-related projects especially bridge and highway, transmission and distribution and airport construction. In addition, we know that prepainted aluminum and steel will continue to play a critical role in many reshoring projects the conversion of plastics to aluminum and food and beverage industries will continue to be a longer-term secular trend. With that, I'd now like to turn the call back over to Tom.
Thomas Ferguson: Thank you, David. To summarize our fiscal 2025, we posted record results for revenue, operating income, adjusted EBITDA, adjusted earnings per share and adjusted net income. Our sales expansion that grew to almost $1.6 billion, consisted of 100% organic volume growth which speaks to our market-leading segments and service-driven culture. Our ability to improve margins demonstrates our emphasis on value-added service to our customers and disciplined focus on operating quality efficiency and productivity. We improved our capital structure by eliminating the preferred equity, continuing to reduce debt and improving our net leverage ratio to below 2.5x. Looking ahead to fiscal 2026, we anticipate delivering above-market growth while getting some bolt-on acquisitions done. Importantly, we will be sticking to the disciplined approach to investments, capital allocation and growth that has made us so successful. Today, we are reiterating our fiscal year guidance for 2026, which reflects our confidence in the company's strategic execution, operational resilience and market positioning. Starting with sales, our best estimates given market conditions and sentiment are $1.625 billion to $1.725 billion, adjusted EBITDA of $360 million to $400 million and adjusted earnings per share of $5.50 to $6.10. The midpoints of these ranges demonstrates business expansion ahead of any future M&A activity. We look forward to completing its divestiture of the electrical platform so that we can utilize the cash to reduce debt and invest in growth. For this reason, we're leaving our EPS estimates unchanged. Also, capital expenditures for the fiscal year are expected to be $60 million to $80 million. and debt paydowns are expected to exceed $165 million. This amount excludes any additional debt reduction from the AIS sale proceeds as well as any capital used for acquisitions. Additionally, we are off to a good start in the first quarter and have not seen any significant impact from the tariffs, particularly in our Metal Coatings segment. I am proud to recognize AZZ's 38th consecutive year of growth and profitability from continuing operations. This accomplishment was due to the dedicated efforts of our employees. I sincerely thank them for their hard work and continuing commitment to excellence. Finally, we are excited to announce that we will host an Analyst Day on August 14. The event will be held in St. Louis, Missouri and will include management presentations from our precore headquarters in a tour of our new aluminum coatings plant. I encourage the analyst community to contact our Investor Relations team if you are interested in participating later this year. With that, operator, I would like to open up the call for questions.
Operator: [Operator Instructions] The first question comes from the line of Adam Thalhimer with Thompson, Davis.
Adam Thalhimer: Tom, I was hoping to start off with -- and you addressed this at the end of your prepared remarks, but what you're seeing in the May quarter? And what kind of a bounce back you've seen from the bad winter weather?
Thomas Ferguson: Yes, great question. Yes, we -- just in April alone, we've recovered the shortfall in -- from the fourth quarter for Metal Coatings and probably exceeded that. So we're looking for a very strong first quarter on the Metal Coatings side, and they're out of the gate really, really well. So March was great. April is solid. The outlook for May is good as well. On the Precoat about the same. They were weather impacted, but somewhat differently. So instead of as much lost production days, it was more customers who were closed and didn't take delivery on some finished goods inventory. So we look for a solid first quarter for Precoat. Jason will talk -- probably want to add something to my comments. But we have a lot going on in the first quarter for Precoat. We've got the new site ramping up, which is great news for us, production in play. And we do focus more on market share growth. So if you just look at last year, our markets generally were down, and yet we were to grow in both segments. So Jason, you may want to add a little bit up Precoat.
Jason Crawford: Yes. I mean the only other thing I would add in Precoat is round about their inventory and the seasonality ramp that we would normally see with the good weather coming out of January, February would impact our Q4 and we've never seen that. We carried a little bit more inventory from Q3 into Q4. And that happens in relation to where steel prices is at. And obviously, as we kind of enter Q4, there was a lot of bit uncertainty around about the administration and what that was going to impact or how it is going to impact. And essentially, if you go back 8 years ago, how it impacted us was round about supply and price. So to be fair, our customers stopped up a little bit, and we carry that. So that was probably the main impact to Q4, and then we'll see that get back out the system as we go into Q1 here.
Adam Thalhimer: Okay. Great color. And then, Jason, what's in the guidance for the Avail JV.
Jason Crawford: Yes. I mean, if you look at the Avail JV, and obviously, the guidance that Tom reiterated, there is no impact. And the reason we look at no impact is $15 million to $18 million in the guidance for the JV. And as Tom, I think, as I highlighted, there's around about 30% of that JV continues after the sale. So it comes down to a fairly nominal level once we complete the sale of Electrical Products division. If you take the incoming cash and convert that into lower interest rates. It's within the ZIP code of 1 for 1. So obviously, we now fully decided the capital allocation of that. But from an EPS point of view, we're looking at it as being very insignificant in terms of our guidance.
Operator: The next question is from the line of John Franzreb with Sidoti & Company.
John Franzreb: I guess I'd like to start about a little question about the tempo of the order book. I know you had some catch-up from weather. But have you seen any change in momentum based on the current macroeconomic environment, be it positive or negative?
Thomas Ferguson: Yes. Interestingly enough, we spend a lot of time going through our weekly reports from the field. And the optimism is positive. It's -- so projects are going forward. Customers are confirming we've got capacity. And so I'd say, generally, while there's always concern further out in the year, the short-term outlook over first quarter and second quarter, more positive than I think we would have expected. So I think, like I said, mostly checking our capacity, making sure we've got shifts to run infrastructure Jason can probably comment on precode a little better. We already alluded to the fact of the finished goods inventory. But generally, it's positive there, too. And the construction season was a little slow to get started, but now it's getting off well.
Jason Crawford: Yes. John, the only other thing I'd add is if you look at the couple of industry forums that we've been doing at the start of the year and the general sentiment in those forums and conferences is relatively upbeat. So at this point, obviously, there's a lot of turmoil outside. But within our 4 walls of our business, then we're not necessarily seeing it at the moment.
John Franzreb: Great. That's good to hear. I guess the second thing I wanted to touch on was zinc. The U.S. doesn't produce an awful lot of zinc. A lot of it comes from China and South America. I'm just curious, how should we be thinking about zinc in this current tariff environment? Any kind of color you could provide would actually be very helpful.
David Nark: Yes, John, this is Dave. I'll take that one. As we look at zinc, one of the things -- I think the biggest thing to note is that it is listed on the ANCI list that came out from the administration as something that is exempt from the tariffs. So while, to your point, the U.S. is a net importer of zinc, the vast majority of ours comes from North American sources. And again, it's not an impact for us because it's on the exempt list.
Thomas Ferguson: Yes. And I'd add. Talking to all of our suppliers, they don't have any concerns at this point. So supply is good. We'd actually taken on some inventory at the end of the year just as a cushion but it doesn't look like we're going to need that extra inventory.
Operator: The next question comes from Mark Reichman with NOBLE Capital Markets.
Mark La Reichman: By my calculations, it seems like you would need to reduce debt about $300 million to offset the impact from the sale of the JV transaction. And I was just wondering, with that $200 million that you're expected to receive, could you just maybe elaborate on your debt reduction goals and how you might look at that from a capital allocation standpoint, I know you still have about $50 million left on your repurchase authorization. So just some clarity regarding the debt reduction goals would be helpful.
Jason Crawford: Yes, certainly, and I can certainly [ bring ] that up. At this point, we've not fully decided to capital allocation at $200 million. But if you go back to the loss impact from the JV our income, that doesn't affect our calculation on the 2.5% that we ended the year. So that's excluded from that calculation. As you look at the opportunities from an M&A point of view, potentially returning shareholder value via increased dividends or share buybacks. That's all on the table. And if we decide that there's no opportunities there that we'll continue to pay down debt. We're in -- the comfort zone is 2.5. And if we go slightly below that, then I think that's -- that would be our priorities there.
Mark La Reichman: Okay. Well, just kind of -- just for a little more clarity. So basically, you'll go from that equity and earnings from unconsolidated subsidiaries to go from 15% to 18% down to 4.5% to 5.4%. So to make that up, you're going to have to pay down some additional debt to reduce the interest expense. And you've already said that you'll pay down more than $165 million. And I guess what I'm asking is, is $300 million, is that unrealistic in terms of what to expect in terms of your debt repayment in fiscal year 2026.
Thomas Ferguson: That's very realistic.
Jason Crawford: Yes. I don't think it's unrealistic. I think the...
Mark La Reichman: That's what I'm assuming. So I am hopeful.
Jason Crawford: I mean the math is correct, yes.
Thomas Ferguson: Yes, yes, absolutely. And that still leaves us room for -- as we talked about, buying in stock to eliminate the dilution from equity compensation and things like that. So we've we fully intend to utilize a chunk of that $53 million remaining buyback authorization and -- in addition to the debt reduction that you just mentioned.
Mark La Reichman: Okay. And then just a second question, a final question. The fiscal year 2026 capital expenditures of $60 million to $80 million. What's the split between Metal Coatings and Precoat Metals. I mean we have a pretty good history for a normalized run rate for Metal Coatings, but maybe not so much for Precoat Metals. So I just was kind of curious about the normalized spending budget for each of those segments.
Jason Crawford: Yes. And I would say it's roughly to very close to within the pennies of a 50-50 split. I think you can look at the lower end of that has been a normal year. And then the upper end of that, where maybe we're investing in some projects. I think we've highlighted historically there's some projects that have sat on the sidelines as we focused on paying down debt, and they start to come in to bog in terms of January return.
Thomas Ferguson: Yes. And I would just add to Jason's point, which yes, $30 million each for the 2 segments. And then we did have -- so in that $60 million to $80 million, we had some carryover on the new Washington facility that just bills to pay carried into this year. So that's part of it. And then we -- Jason's point, we've got a couple of nice new investments in blend sales and things like that, that will give us new capabilities in certain facilities. So we'll always look at some increment for growth capital.
Operator: The next question comes from Ghansham Panjabi with Baird.
Ghansham Panjabi: If you covered it, I missed it, but what do you estimate the impact from weather was on your 4Q fiscal year '25 quarter? And is that lost sales just add to the future backlogs? And is that in effect what you're seeing in the first quarter thus far?
Thomas Ferguson: Yes, that's -- that was -- so probably lost revenue that we can directly attribute on the Metal Coatings side of $8 million to $12 million. Virtually -- well, almost all -- well, I'd say virtually all of it has now been recovered in March and April on the Metal Coatings side. On the Precoat side, as Jason talked about, there was some weather impact, but also this finished goods inventory build. But we've -- and it was about 200 loss production days and most of it hit in -- from mid-January through February. So and we couldn't make it up on weekends just because of storms, ice weather and also customers who weren't shipping stuff in. So -- but we saw that ramp up hit quickly in March and worked a lot of weekends to take care of our customers.
Ghansham Panjabi: Okay. Got it. And then relative to when you initially gave your fiscal year '26 guidance back in February, I mean, obviously, there's more uncertainty as it relates to the macroeconomic backdrop, tariffs and also mixed indicators and construction, including from the homebuilders, you're reiterating guidance for the year, obviously. Are there any incremental positives for fiscal year '26 relative to your view back in February that's sort of underpinning your confidence? And then also, how should we think about sequencing of earnings for fiscal year '26.
Thomas Ferguson: Yes, I'll answer the first part and then Jason can answer the sequencing. But yes, so a couple of things that have happened. One, we're off to a strong start in Q1, particularly in Metal Coatings, which with that weather and things like that, there -- we just did have a little bit of concern, which is now gone. And two, we do intend to get at least one, I hate to call it mom-and-pop, but I've called that for a while. One mom-and-pop galvanize are done hopefully this quarter and then another later this year. So those would both be nice margin business is incremental to what we were looking at back in January. And then we have been pushing price because while we are not impacted on the zinc and paint side, from a cost perspective, a lot of other things, we have seen inflation on whether it's due to tariffs or just due to supplier taking opportunities. So we are pushing prices as I think most folks know we do in this case because we offer the value and want to make sure that we continue to deliver for our customers. So that's kind of the optimism that I would -- at least that's my optimism as I'm looking forward this year and mostly what we're hearing from the field and our sales resources and what our customers are telling us. [indiscernible] sequencing.
Jason Crawford: Yes. In terms of the seasonality, I would say it's going to be a normal seasonality pattern that we've seen historically other than 2 things and 2 of them we've touched on. In regards to the Metal Coatings division, we are going to see a little pop in Q1 as we've seen the negative side in Q4, which is going to be nice for the quarter. And then as Tom highlighted, if we execute on the acquisition, then Q3, Q4 should provide that additional level boost for that division. From our Precoat of view, business as normal from a seasonality other than bringing on the new facility. We highlighted in Q1, we're starting to see commercial production. Obviously, it's a brand-new asset. So it's got to be a little bit of a drag, not materially so, but certainly, it's got to be a drag before you really see that start to pop in the second half of the year. So Other than those 3 factors, at this point, we're not really seeing anything major in terms of seasonality for the calendar year -- or for the fiscal year, sorry.
Ghansham Panjabi: Okay. Great. And then just one final one. Your capital position, your balance sheet is already quite strong and clearly, you're going to get more proceeds post the JV asset sale. As it relates to acquisitions going forward, should we sort of be thinking about slightly larger deals than maybe you originally envisioned just given balance sheet flexibility? And just more holistically, what does the pipeline look like for acquisitions at this point?
Thomas Ferguson: Yes, the pipeline is looking really good. I think we've got deals we could do the one-off galvanizing, those are just slam dunk. That's kind of our history. What we do is normal routine. So we've got, I think, active at the moment, one close to fruition. The 2 others that hopefully we can get done later this year. And then on the Precoat side they're just generally going to be bigger. We're probably -- I'd say there's active deal -- there's things that we could act on, but we're taking a wait-and-see approach to see how the tariffs impact those businesses. And -- but they're in our pipeline, active, good, solid relationships, things that if we can get the right value for them and the timing is right, and we prove out what happens to some of these businesses with tariffs because generally, galvanizers are like our metal coatings has not been affected too much because they're focused on infrastructure and construction spend that's going to go forward. But on the Precoat side, it's -- there are going to be bigger deals.
Operator: Our next question is from Nick Giles with B. Riley Securities.
Nick Giles: Maybe just as a follow-up to the last question there. as you think about other potential bolt-on opportunities, I mean, what geographies are most compelling? And how does end market exposure come into the decision matrix.
Thomas Ferguson: Yes. I think and kind of back to you for us on the galvanizing side, specifically. Almost any geography is good. whether we've got plants in the area or not, we're still going to be interested in those -- whether it's 1 site or 5 or 6 or 7 sites. It's just our sweet spot. We've got a great playbook. We believe we can add value and improve margins with virtually anything that we acquire in that space. So if it's U.S. or Canada, we're interested. We continue to have relationships with galvanizers outside of the U.S. and Canada. But that's not on our short-term horizon. On the Precoat side, I think back to it's -- everything we have is U.S. centered. So probably U.S., Canada is the geography. The end markets tend to be relatively of the things that we're aware of out there that are potential. They tend to be in the same served markets that we're in I'm not sure Jason might add to this or David, but I'm not sure that there's any geography that would limit us from looking at it if it's in the U.S. and Canada.
Jason Crawford: Yes, I would agree. And in terms of the markets, both businesses is the #1 player within the market. cover all end markets. And really, all you would see the acquisition is a little bit more concentration and something bigger than what we have today. So there's not any new markets out there that we could take galvanizing our coil coating to it, it would just be a greater presence within those spaces.
Nick Giles: That's helpful. And working capital management was a key contributor to strong cash flow in '25. So are there any working capital considerations you'd highlight as we think about cash flow in 2026? Or could we see further improvement?
Jason Crawford: Yes. I mean I definitely think there's further improvement. As you look at -- I think Tom had made a couple of mentions in regards to bringing a little bit more zinc in than we had optimally got to. So certainly felt on that back through the system. And then if you look at our furnished goods position, and our contract assets, it's called the balance sheet. For our Precoat division, there are certainly opportunities there. I think we finished just below 11% in terms of working capital and certainly getting that to single digit as a very strategic goal for it. So there is a little bit more movement, but certainly went to see the blockbusters that we've seen maybe 2 years ago.
Thomas Ferguson: Well, I would also add because we are ramping up the new Washington coal coating facility, there will be some working capital -- new working capital to get attached to that. So I think that's why we're really looking at working capital being relatively flat overall this year, but that includes absorbing a new location.
Nick Giles: Got it. No, that's helpful. And then one more, if I could. As we think about margin cadence over the year, should we be thinking about margins that could be closer to the high end as far as precuts as Washington ramps?
Jason Crawford: Yes. I mean I think as we've previously stated, then Washington definitively comes in at the higher end just by the product, just the margin profile of that product. And then above and beyond that, just the leverage of the fixed cost that are within that business unit. So certainly, once we ramp the Washington facility and get it fully capable and producing, then we should see an overall bump to the Precoat margins that we've been operating at.
Operator: The next question comes from Timna Tanners with Wolfe Research.
Timna Tanners: I had a few follow-ups, if I could, on tariffs broadly. So I just wanted [ to ] try to be pedantic on this, but on the last quarterly call, you said that there could be some project delays due to tariff uncertainty. So in this time, there is no mention. So were there no project delays and are you not hearing anything about tariff uncertainty from your customers anymore?
Thomas Ferguson: Okay. On [indiscernible]. Yes. I think the as we looked at it, particularly, and I'll start with the Metal Coatings side. But yes, there were concerns. And it was -- but I think what we saw was steel has been available, metal has been available. So as long as there was that available for construction, those projects move forward, they were already agreed to price levels and things like that. So as we're looking out and what we did see weather delays in the fourth quarter, and I just mentioned the first quarter started off strong. So there's this natural level of concern about the new price to construction costs spike due -- but I think it's less around construction material availability, more project cost spike. If they spike, does that make some of them less viable later on this year. But -- so the general sentiment is still positive, but let's see how it goes as we get to the latter part of this year, on the metal coating side. I think on the Precoat side, Jason or David, you may want to add, but I think it's relatively the same. Construction was a little -- due to weather was a little later to get -- the season was later to get ramped up, and it's ramping up fine at this point. I'm going to guess that if we dug into more details and you get beyond infrastructure, bridging highway, T&D, electric utilities, data centers, then I think the sentiment may be a little weaker as you get further out only because of the unpredictability of the cost estimates and new projects become less viable.
Jason Crawford: Yes. I mean, to be fair, the only other thing I would add is 3 months ago, it was all very new. And certainly, we're a little bit cautious and maybe even speculating what could happen versus 3 months later, we've engaged with our customers. As I mentioned, we've been at the industry forums, et cetera, and we're not hearing that same sentiment that's going to impact us.
Timna Tanners: Okay. And then similarly, along those same lines, you mentioned that paint availability was not impacted by tariffs. We already talked about zinc. But are you in your -- or your customers finding any materials needed for your business impacted by tariffs? And then along those same lines, are you or any of your customers benefiting from some of the downstream tariffs on steel and aluminum. I just don't I'm trying to get my head around like how that could also maybe benefit you on the downstream side.
Jason Crawford: Yes. I mean I think it's hard to believe that there's any company out there that's not been impacted by tariffs. And certainly, our biggest inputs are zinc and paint. And as we've highlighted, we are not seeing any impact to them. But you go to the great population on the goods that we're procuring and some of them in terms of production supplies, et cetera, are being impacted. And obviously, we have been very customer-conscious in terms of pushing back on those, but some of those are stacking. So in terms of margin accountability, then we're driving appropriate from a pricing point of view. So that's something that we continue to stay on top of. Obviously, it's the smaller part of our input cost but at the same extent every paying accounts, and we just stay on top of that and continue to monitor it.
Thomas Ferguson: Yes. That would be things like wire additives, chemicals, assets. So those secondary supply items in both segments have been impacted. But like I said, we're trying to push price and also negotiate. And in a lot of cases, we're still fairly large customers for certain of those items. So in a reasonably good position and have not seen much negative impact at this point, if any.
Nick Giles: Okay. Helpful. And then on the opportunities on the downstream side, is there much that you think you could pick up in terms of business on what might have otherwise -- I don't think you compete a lot with imports, but even some of the substrate that you buy maybe being domestic, is that -- are you able to see some volume improvement perhaps from more domestic production opportunities?
David Nark: Absolutely, Timna. What we are seeing, particularly on the Metal Coatings side, we know that imports -- prepainted imports in particular account for about 10% of the volume that comes in. That equates to about 800,000 tons annually. We do believe that a portion of that will be looking for domestic supply and obviously, being a leading coil code here in North America as they source domestically. It stands to reason that we'll pick up some tailwind from that this year.
Operator: The next question comes from Jon Braatz with Kansas City Capital.
Jon Braatz: Tom, now that Washington has reached commercialization stage, and maybe along with the prior question and maybe some additional imports looking for domestic sources. Any reason to believe that Washington's ramp up might go better than expected, and we might see something more positive out of Washington here in this fiscal year?
Thomas Ferguson: Yes, that's always -- I think the hope. It's a big, complex project. It's been run well. The team has done a great job of mitigating any issues with deliveries of equipment and getting things ramped up. So we're looking forward to the Analyst Day there in August. But absolutely, we've got -- they're working to a more aggressive plan than we've got embedded in our guidance. And so if they hit that more aggressive plan, which so far, the team has shown they're able to do then we would have some nice upside this year. So I know some of the team is probably on this call just scratching their heads and -- but yes, they signed up to -- and it really hits as they hit the capacity midyear. So as we get into that third quarter and especially at that point, they're in full stride. And we've heard from at least 1 customer that they're forecasting higher demand, which is good news. So we'll have the demand. We've -- the facility comes online well, which we continue to see signs it is, then we're going to have a really good year there.
Jon Braatz: Okay. If I'm correct, we're initially -- the initial revenue expectation is around $40 million, $50 million for this year. Is that correct?
Thomas Ferguson: I think it's a little lower than that.
Jason Crawford: So the revenue for this year is not $50 million or $60 million. The revenue once we get to ramp, we've previously stated is that kind of $60 million opportunity. And that's obviously a variable number. there's actually filings within that facility. There's, I'd say, a pre-slit lining and a coating lining in an overall slitting line. So there's a lot of variables in that equation in terms of the type of product. But as you look at within our models, then fill capacity is in around that $60 million number.
Jon Braatz: Okay. Okay. And one last question. David, you spoke about the 200 days of lost production, mostly in the Metal Coatings. Was the inclement weather mostly impactful impacting your Southeastern locations? Or was it pretty much across the board?
David Nark: Yes. We saw it pretty much across the board in the areas where we operate. The South in particular was definitely impacted more than it was a year ago as well as the upper Midwest and some of the Eastern operations as well.
Thomas Ferguson: Yes. Texas, we hadn't seen this since, what, '22, and even then, we didn't have this many down days. And so part of it was that natural gas got curtailed in North Texas. And obviously, with our big furnaces that we basically had everything on slow roll. So it really -- and these are big -- so it happened the impact where we had big facilities and -- but all of that has ramped back up in Q1.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Tom Ferguson for any closing remarks.
Thomas Ferguson: Thank you, operator. I want to thank everybody for joining us. And as we've implied on this call, we think the fundamentals of our business are outstanding and pretty much unchanged in spite of a lot of the tariff uncertainty. We focused on providing outstanding value and which allows us to take market share. We've made great investments in adding capacity, whether it's spin lines on the Metal Coatings side or whether it's slitting lines on the Precoat side. So we have added other services that are flowing through into our revenue line and look forward to continuing to do that, getting some deals done in announcing some additional positives as this quarter goes on. And then talking to you all at the end of the first quarter. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.